Operator: Good morning, ladies and gentlemen, and thank you for standing by for Dada's Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions]. As a reminder, today's conference call is being recorded.  I will now turn the meeting over to your host for today's call, Ms. Caroline Dong, Head of Investor Relations for Dada. Please proceed, Caroline.
Caroline Dong: Thank you, Operator. Hello, everyone, and thank you for joining us today. Our fourth quarter 2020 earnings release was distributed earlier today and is available on our IR website at ir.imdada.cn as well as on global newswire services.  On the call today from Dada, we have Mr. Philip Kuai, Chairman and Chief Executive Officer; Mr. Jun Yang, Co-Founder and Chief Technology Officer; and Mr. Beck Chen, Chief Financial Officer. Mr. Kuai will talk about our operations and company highlights, followed by Mr. Chen, who will discuss the financials and the guidance. They will all be available to answer your questions during the Q&A session that follows.  Before we begin, I'd like to remind you that this conference call contains forward-looking statements as defined in the Section 21E of the Securities Exchange Act of 1934 and the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon management's current expectations and current market and operating conditions and relate to events that involve known or unknown risks, uncertainties and other factors, all of which are difficult to predict in a manner of which are beyond the company's control. These risks may cause the company's actual results or performance to differ materially. Further information regarding these and other risks, uncertainties or factors is included in the company's filings with the U.S. SEC. The company does not undertake any obligation to update any forward-looking statements as a result of new information, future events or otherwise, except as required under applicable law.  It is now my pleasure to introduce our Chairman and Chief Executive Officer, Mr. Kuai. Philip, please go ahead.
Philip Kuai: Thank you, Caroline, and thank you all for joining us today. We're very pleased to deliver another extraordinary quarter and outstanding fiscal year. Our total net revenue of 2020 reached CNY5.7 billion with 85% year-over-year growth rate. Our industry-leading position has been further strengthened with market share expansion and a widened gap with the second and the following players. According to Iresearch, JDDJ continue to be China's largest local on-demand retail platform in 2020, with market share increasing to 25% from 21% in 2019. In the meantime, Dada Now remains as the largest open on-demand delivery platform in China, with market share increasing to 25% from 19% in 2019. I will provide updates on the performance of our two platforms, and Beck will go into greater details about our financial and operating results.  So let's first talk about JDDJ, China's leading local on-demand retail platform. JDDJ's fast growth in fourth quarter was driven by 4 main factors: First, we have been constantly expanding our geographic coverage, especially in lower-tier cities, and further diversified category coverage to provide more product offerings in more categories on demand, leveraging on the leading and expandable supply chain advantages of our retail partners and our continuously growing retail partner base. We entered another 200 cities and counties during the quarter. At the end of 2020, we've covered around 1,400 cities and counties, bringing more and more people everything on demand.  We believe there is still tremendous potential in lower-tier cities. For example, GMV in lower-tier cities increased by 150% year-over-year during this quarter. We also expanded and enriched our category coverage with our mission to bring people everything on demand. During this quarter, we achieved breakthroughs in cosmetics, while making great progress on consumer electronics and smartphones.  In the cosmetics and personal care categories, we have established in-depth partnership with Watsons, Mannings, Innisfree and other beauty and personal care chains and brands. More than 3,400 beauty stores have now been listed on JDDJ.  As for consumer electronics and smartphones, JDDJ established in-depth partnerships with Xintong [ph], JD Home appliance stores and Vivo. Altogether, over 6,000 stores have been listed on the JDDJ platform.  Second, we are continuously enhancing the collaboration with our retailer and brand partners. In terms of retailer partners, in this quarter, we established partnerships with over 20 leading supermarket chains, such as Fengsheng [ph] Supermarket in Hubei province, Andeli Department Store in Anhui Province, [indiscernible] in Zhejiang Province and Beihai [ph] Supermarket in Shandong Province. All are among the top 100 supermarket chains and regional dominant players in China. As of today, we have established partnerships with 71 of the top 100 supermarket chains in China.  As we enable and empower retailers and create value for them as a partner rather than competing directly with them, the overwhelming number of leading retailers on our JDDJ platform compared with our competitors, clearly demonstrate our competitive edge.  Partnering with nationwide leading supermarket chains, JDDJ has launched brand-new promotional campaigns called Super Merchant Day during this quarter. The new IP event will help retailers improve sales, expand customer base and enhance brand influence. So, this initiative has achieved success in trial cases. For example, during the first Super Merchant Day launched for Zhongbai warehouse supermarket in the first weekend of December, their sales improved by more than 12x over their regular weekend sales. In light of the exceptional results, we are rolling out this campaign to more leading supermarket chains.  As you might recall, we launched the Dada picking cross-sourcing service for retailers in the third quarter to improve the efficiency of the picking and the procurement process. During Q4, Dada picking has provided omnichannel order picking service to more supermarket stores, increasing their picking efficiencies by 24% and lowering picking costs by 24% in some typical stores.  We also expanded the number of pharmaceutical chains in the fourth quarter and have now established partnerships with more than 80 out of top 100 pharmaceutical chains in China. In terms of brand partners, during this quarter, our online marketing service revenue from brands continued to gain momentum, increasing by around 300% year-over-year. We continue to innovate marketing activities to create more values for brand partners. During Double 12 promotion season, many leading brands such as Yili, Mengniu, Henan and Fulinmen increased their sales multiple times versus the same period of last year.  To meet the surge in demand in cosmetics, we launched a joint promotion program with Unilever and P&G during the Double 11 festival. Sales were more than 10x that of the last -- the same period of last year. During the quarter, JDDJ also extended its strategic collaboration with certain brand owners. For example, we established a live streaming collaboration agreement with Unilever and deepened collaboration with Pepsi to launch joint marketing campaigns during the Chinese New Year promotion.  And third, we continue to develop innovative technology to empower our retailers and brand partners. As of the end of February, Dada's Haibo omnichannel online retail operating system has now been adopted by over 200 -- 2,200 large- and medium-sized supermarket chain stores in China. During the quarter, we added and upgraded modules in our Haibo system. For example, the new heat map module provides the distribution of orders across communities within a particular delivery radius, which allows supermarket stores to launch targeted off-line promotions and attract new customers more efficiently.  We provided an omnichannel fulfillment solution that integrates warehousing, picking and delivery in a systematic, digitized and standardized fashion, which has significantly improved operating efficiencies and reduced cost. On average, our Haibo system increased the number of products promoted online by 6x and promoted SKUs as a percentage of total online SKUs offered in the store twice as our peers. Labor efficiencies for product management and promotion management increased by 10x and 12x, respectively, an accuracy rate of accounts -- our reconciliation was boosted to 99.99%.  Fourth, we deepened our collaboration with JD.com, Wujingtianze [ph], the key omnichannel collaboration program. We added more traffic entry points for Wujingtianze [ph]. So now, in addition to search results page on JD app, this program can be accessed through the home page and the JD supermarket channel of JD.com. Wujingtianze [ph] program was also expanded to more categories beyond grocery such as consumer electronics and smartphones, parenting, personal care and cosmetics, providing JD platform users with more product offerings for 1-hour delivery service.  Finally, JD and JDDJ strengthened the joint marketing efforts during shopping festivals such as Double 11 and Double 12, as well as omnichannel weekend promotions.  So, let's now move on to Dada Now, the largest open on-demand delivery platform in China. So first, for our chain merchant business, we continue to collaborate with industry-leading supermarket, pharmaceuticals and catering chains in the fourth quarter. Revenue from chain merchants in the fourth quarter increased by 130% year-over-year.  One success story to highlight is Sam's Club. Three years ago, Dada Now entered into a collaboration agreement with Sam's Club to provide intra-city delivery service, allowing Sam's Club members to enjoy a premium and a convenient shopping experience. To date, our dedicated delivery service covers 100 Sam's Club warehouse and a few -- offers omnichannel others, including those from JDDJ from Sam's Club app and Mini Program. Their average daily delivery orders volume per warehouse has now surged more than 10x since initiating the partnership.  And turning to the last-mile delivery. We further extended our geographic coverage to more lower-tier cities. At the end of 2020, we covered 2,700 cities and counties. So overall, we are pleased with our progress during the quarter and excited about the journey ahead as we execute our growth strategy. We look forward to generating sustainable long-term value for our shareholders as we navigate a new era in China's retail industry.  With that, I will now pass the call over to Beck Chen to go over our financials for the quarter. Thank you.
Beck Chen: Thank you, Philip. Before we go over the numbers, just a few housekeeping items in advance. We believe year-over-year comparisons are the most useful way to judge our performance. All percentage changes I'm going to give will be on a year-over-year basis, and all figures are in renminbi unless otherwise noted. I'll start with Q4 numbers first. Total net revenues increased by 70% to CNY2 billion. Net revenues from Dada Now increased by 54% to CNY1.3 billion, mainly driven by increases in order volume for our services to logistic companies and intra-city delivery services to chain merchants.  Total net revenue from JDDJ increased by 107% to CNY729 million, mainly due to the increase in GMV from the same quarter last year, which was driven by increases in average order value and the number of active consumers. Year-over-year increases in online marketing services revenue was around 300%.  Moving over to the expense side. Operations and supporting expenses increased to CNY1.6 billion, mainly due to the increase in rider cost as a result of increasing order volume for our services to logistic companies and intra-city delivery services provided to various chain merchants on the Dada Now platforms and the retailers on the JDDJ platform.  Selling and marketing expenses rose to CNY703 million, mainly due to, first, growing incentives to JDDJ consumers in line with GMV growth, while the rate of incentives as a percentage of GMV declined. Second, an increase in advertising and marketing expenses, which was primarily attributable to the increase in referral fees paid to the staff at retailer stores and third-party promotion service providers for their efforts to attract new consumers to the JDDJ platform. And third, an increase in personnel costs in connection with the company's growing businesses and increased share-based compensation expenses.  G&A expenses rose to CNY113 million, mainly due to the, first, increased share-based compensation expenses; and second, increases in professional service fees that the company incurred as a listed company.  R&D expenses rose to CNY110 million, mainly because of the increase in research and development and personnel cost as the company continues to strengthen its technology capabilities. Increased share-based compensation expenses also contributed to the increase in personnel costs.  Non-GAAP loss from operations narrowed by 12% to CNY434 million. Non-GAAP operating margin was minus 22%, which was an improvement from minus 42% in the same quarter of last year. In Q4, our non-GAAP net loss narrowed by 12% to CNY420 million. Non-GAAP net margin was minus 21%, which was an improvement from minus 40% in the same quarter of last year. Non-GAAP net loss attributable to ordinary shareholders was CNY420 million versus CNY695 million in Q4 last year. Non-GAAP diluted net loss per share was CNY0.46 compared with CNY1.91 in the fourth quarter of 2019. I will now quickly run through a few key full year 2020 financial results. Further details can be found in the earnings release. The total net revenues for the full year was CNY5.7 billion, an increase of 85% from CNY3.1 billion in 2019. Operations and supporting expenses for the full year were CNY4.7 billion compared with CNY2.8 billion in 2019.  S&M expenses for the full year was CNY1.8 billion compared with CNY1.4 billion in 2019. G&A expenses for the full year were CNY499 million compared with CNY281 million in 2019. R&D expenses for the full year were CNY429 million compared with CNY334 million in 2019. Non-GAAP loss from operations for full year was CNY1.2 billion compared with CNY1.5 billion in 2019. And the non-GAAP operating margin was minus 21% in 2020 compared with minus 48% in 2019. In 2020, our non-GAAP net loss was CNY1.2 billion compared with CNY1.4 billion in 2019. Non-GAAP net loss attributable to ordinary shareholders was CNY1.5 billion in 2020 versus CNY2.2 billion in 2019. Non-GAAP diluted net loss per share was CNY2.31 in 2020 compared with CNY6.11 in 2019.  As of December 31, 2020, we had CNY6.3 billion in cash, cash equivalents, restricted cash and short-term investments. In early December, we completed follow-on offerings with total proceeds of USD 450 million. This strengthened our balance sheet and will allow us to grow our user base and further invest in our technology and R&D, consolidate our leadership position and strengthen the value proposition we offer to merchants and the consumers.  So in terms of the outlook, for the first quarter of 2021, we expect total net revenue to be between CNY1.61 billion and CNY1.66 billion. As for the total net revenues of JDDJ, given that Q1 is traditionally a lower season for consumption and the JDDJ's revenue growth of over 150% during pandemic outbreak in Q1 last year resulting in a high base, we expect the JDDJ revenue in Q1 this year to grow over 50%, 5-0, 50% on a year-over-year basis. And heading into Q2, we expect the JDDJ revenue growth to reaccelerate a lot on a year-over-year basis.  Lastly, I would like to talk about the upgrade of our last-mile delivery businesses and its impact on revenue recognition going forward. So in the past few years, we have cooperated seamlessly with JD Logistics, and our last-mile delivery business has grown significantly. As a result, related party accounts receivables from JD Logistics also saw substantial increases from over CNY200 million by the end of 2019 to over CNY500 million by the end of 2020.  In order to improve our company's working capital efficiency and also by the understanding and support from JD Logistics, starting from Q2 this year, the last-mile rider cost will be directly paid through third-party companies instead of through us, like the current practice. And we will continue to collect our service fee from JD Logistics and will only recognize this service fee as our revenue going forward. We will no longer recognize rider-related revenues and rider-related costs in our income statement for the last-mile delivery businesses, while our related-party accounts receivables balance will also decrease significantly going forward.  So let me provide an example for better illustration. So under the current practice, JD Logistics may pay us $11 for the provisioning of last-mile delivery service, of which we would give $10 to the riders for this work -- for his work, and we'll keep $1 of service fee as a gross profit.  As for the accounting treatment, we recognize $11 as our revenue and accounts receivables and recognize $10 as the rider cost. Following the change of the business model, JD Logistics will pay a service fee of $1, which we will recognize as revenue and accounts receivable. We will no longer recognize the other $10 as the rider cost -- as the revenues and all the accounts receivables because it will be paid through by third-party companies. This is a little bit like gross basis changed to a net basis, and it has no impact on our gross profit and our continuing services to JD Logistics. We anticipate that the business change will take effect since Q2 this year. And going forward, we expect to see a significant improvement in our working capital position and overall quality of our total net revenues.  And also to help our investors better understand our revenue growth in the next 4 quarters from 2Q 2021 to 1Q 2022, we will also provide pro forma information for apple-to-apple comparison purpose in our upcoming quarterly earnings release.  So this concludes our prepared remarks. Operator, we are now ready to begin the Q&A session. Thank you.
Operator: [Operator Instructions]. Your first question comes from the line of Ronald Keung from Goldman Sachs.
Ronald Keung: And I guess, I have two questions for this quarter. The first question would be about lower-tier strategy -- low-tier city strategy. Just how have we observed the performance had been? And if we have looked into kind of different business models out there, including, I think, we talked about the company group purchase model evolving since the second half of last year, do we see we're serving a very different kind of user demographic and cohort? Anything that we could address or share on how our lower-tier city performance, alongside the 150% GMV that we talked about, how do we see this compared with other business models and our strategies ahead in adding users and the order intensity? I have my second question, but let me first ask this question.
Philip Kuai: Thank you, Ronald. So talk about the lower-tier, the city -- the strategy first. So first of all, as you can see from the results, our growth in the lower-tier cities has been very strong. And I think one of the key reasons behind it is that we're able to work with the most competitive retailers in each region with the best supply chain capabilities. And as you know, in China, the supply chain is rather fragmented. And in each region, there are retailer leaders which has the most competitive supply chain, and we are able to work each one of them. At the same time, we never compete with them so we're able to always be the truthful partner with them. I think that's the key reason.  And as of the basket size and the demographics, et cetera, we are seeing the comparable basket size in lower-tier cities. And the purchase power from the consumers in lower-tier cities is as strong as what we have observed in first-tier cities. I think perhaps one of the reasons is that the living cost is relatively low in lower-tier cities, especially the real estate and the rental cost, so they're able to spend more and willing to spend more.  In terms of the group purchase, as you mentioned, as we have observed and competing with group purchase players for the last few quarters, we are now even more confident about our strengths. So in some of the areas that group purchase players are most active, including like Hunan, Hubei, et cetera, we managed to grow 3 digits -- continue to grow 3 digits. So our business was not affected in any way. And we -- at the same time, we are able to provide, at a store level, at least 10x more SKUs, the product assortments to the customers. And our basket size is at least 10x bigger than the group purchase players. So we're very confident about the future competition as well. And as we continue to grow the user base, we're happy to see that our user base has been growing pretty strong in both Tier 1 and Tier 2 cities.  And there are a few things in terms of the user acquisition or growth I would like to mention. So first of all, it's very unique to us because we are working with almost all of the leading supermarkets and grocery chains in China and most of the leading brands in China. So we're now -- so on a daily basis, there are tens of thousands of store associates and off-line brand promoters helping us to promote the JDDJ app. At the same time, we also provide digitized membership program to the retailers and brands. So they're also promoting their membership program to their existing customer base, and those memberships are based on JDDJ app. This is a highly win-win collaboration. At the same time, we're also happy to work even more closely with JD and receive lots of traffic support from JD as well. So we're very confident about our user growth going forward.
Ronald Keung: That's very useful. And my second question is on your Haibo system. You talked about many, many stores that are using it. So what does it account for, say, of kind of daily orders from JDDJ? And how are we penetrating about 70-plus supermarkets amongst the top 100? Any targets there and potential for monetization or even kind of -- even adopting that overseas by your partners?
Philip Kuai: Right. So Haibo system is very strategic. And we consider this as a -- one of the major way for us to empower our retailer partners. So Haibo system, you can consider it as an operating system for any retailer to do omnichannel business. And it essentially helps the retailer to digitize and manage their inventory, their orders, their procurement, their financials, et cetera. So it's an extremely important and helpful system.  And in order to have the retailers to adopt the Haibo system, first of all, the Haibo system itself needs to be very, very strong with very high stability and capabilities of the system has been really, really competitive. At the same time, it also requires very deep trust between the 2 parties because imagine you're a retailer and then you are now using such a core system to manage essentially your omnichannel business. The trust needs to be very, very deep. So we are very proud that over the last few years, we have developed a very deep trust and partnerships with the retailers.  In terms of the monetization, so we have just started some very moderate monetization with the retailers. And at the same time, the Haibo system, I think it will continue to -- in the foreseeable future, it will continue to serve as the backbone and the foundation for the retailers to do the business -- omnichannel business and as a strong value offering from us.  At the same time, we are also pioneering some SaaS-based system and offerings to help the brand owners as well. So we may give you more case -- more examples in the future. We are happy to see some of the early, early cases as well. So at the same time, we will empower both the brand owners -- the retailers and brand owners. So at the same time, the Haibo system -- together with the Haibo system, we're having our CRM technologies, which has been quickly adopted by more and more stores. So as of today, I think there are over 40,000 stores which have adopted our CRM programs, which also dramatically help the retailers. So we'll continue to invest heavily in technology and to empower our retailer and brand partners.
Operator: Your next question comes from the line of Eddie Leung.
Eddie Leung: Just wondering if you could share with us your plan for category diversification under JDDJ in 2021. For example, are we looking at more key categories to penetrate into? And related to that, could you -- could you help us understand the percentage of orders or GMV or whatever metrics you think appropriate from nonsupermarket cats in the fourth quarter?
Philip Kuai: Sure, Eddie. So in terms of the category expansion, we're very happy that years ago, we started off with supermarkets because it's the most complicated category with the most -- like the largest number of SKUs and the inventories and all those things most difficult to deal with. So we laid a very solid foundations while we are doing the supermarket categories. And now we believe that it's a time for us to expand from supermarket to other categories.  So we see this strategy from this angle. So basically, if you're looking to all the products available for retail, we categorize the product into 3 groups. So number one is the product you typically can only get from supermarkets. And the second is the products that you typically can only get in nonsupermarkets. I will give you -- give examples. And the third is the products that are available in both supermarkets and other stores.  So in category -- in group number one, the things you can only get in supermarkets, for example, like milk or cooking oil or rice or toilet papers or like shampoos, et cetera. So those are the things typically you can only get in supermarkets.  And there are things you can only get from nonsupermarkets, including like smartphones, laptop, pharmaceutical products and like the home appliance, flowers and like -- things like that, right? So those are the things that you only get from nonsupermarkets.  And there are also products you can get in both supermarkets and nonsupermarkets. For example, like skin care, cosmetics, like alcohol beverage, bakery, snacks, et cetera -- parenting, et cetera. So the those are the things -- those are angle we look into the category expansion. So we will continue to strengthen our leading position in supermarket categories. No doubt. We'll continue to strengthen the market share and to -- as a matter of fact, we have now already the -- one of the fastest growing for most of the FMCG brands that are available in supermarkets. And we will continue to strengthen our leading position.  At the same time, we will expand from supermarket categories to the categories that are available in both supermarkets and others. For example, like bakery or alcohol or like the fresh produce, et cetera. So those are the things you can get from specialty stores and supermarkets. We will expand to specialty stores.  At the same time, as we have already successfully built the leading position in like the smartphone in our delivery business, we will continue to strengthen that. And like a pharmaceutical delivery, et cetera. So those are the things from nonsupermarkets. We will continue to strengthen that.  So to summarize, the category expansion, we believe, is -- we are -- we have got very solid foundation from the supermarkets from the last few years. And we will expand to more categories in the foreseeable quarters and years. At the same time, the collaboration with JD, I think, will also be strengthened via Wujingtianze [ph] or other programs. It will be also helpful for our category expansion.
Beck Chen: And also the nonsupermarket categories is accounting for 25% of the GMV, mainly coming from electronic stores, fresh market, food stores, pharmacy stores and beauty store, et cetera. So that's the answer, Eddie.
Operator: Your next question comes from the line of Thomas Chong from Jefferies.
Thomas Chong: I also have a question relating to JDDJ. Can management comment about the trend in the unit economics across commissions and advertising as we go through 2021 as well as how we should think about the trend of consumer incentives and how we should expect the timing to break even? On top of that, may I also ask about what's the latest progress that we work with JD on the Wujingtianze [ph] project?
Philip Kuai: Sure. So I will take the Wujingtianze [ph] question first, and I'll have Beck Chen to go through the unit economics and some of the financial projections.  So the Wujingtianze [ph] program has been launched for a couple of quarters -- a few quarters since early last year. And we're happy to see that in Q4, Wujingtianze [ph] -- the GMV through Wujingtianze [ph] has been growing very strong. In fact, there's quarter-over-quarter by multiple times growth. And both JD and ourselves are very key in this program, and we are very actively pushing this forward. As you might have observed in Q4 on JD.com front page and JD Supermarket front page, there are quite a few more entry points. And if you also search on JD.com, on the search result page, you will see many significant entry points as well. So through this Wujingtianze [ph] program, we are now offering the JD users with 1-hour delivery service for many categories, from grocery now to consumer electronics, parenting, cosmetics and so on. And we envision that we will expand to more and more categories in the upcoming quarters as well.  And at the same time, in Q4, we have launched multiple very successful marketing initiatives with JD through Wujingtianze [ph] and so more retailers now participate in those kind of marketing initiatives. And so both retailers, brands and JD really appreciate this program. So it's still at a rather early stage, but we absolutely believe that the GMV growth through Wujingtianze [ph] will keep the very strong momentum.  And I would also want to just to give a quick summary of the rationale behind Wujingtianze [ph] so you might be able to understand the logic more clearly. So Wujingtianze [ph] is a highly win-win partnership between JD and JDDJ through a few dimensions. So number one is about fulfillment. As you can imagine, for JD.com, there are many product categories are -- actually very difficult for JD to do the order fulfillment, including like those heavy products or OCE products or those frozen products or the fresh produce, et cetera.  So, all the categories I just mentioned either has very high fulfillment cost or has a very high shrinkage, et cetera. So, it does not make too much economic sense for JD.com to do the order procurement on their own. At the same time, those products and inventory are already available in the stores near the customers, in our retailer partner stores. So, it makes a lot of sense for us and for our retailer partners to do the order procurement. So that's number one, order procurement.  Number two is about the inventory. So, in many categories, take consumer electronics as an example, like Apple or Vivo or OPPO. So those are the smartphones or consumer electronics players. Each one of them, they will -- highly promoting their own brand stores, off-line brand stores, and allocates more inventory to their off-line stores.  At the same time, we also see that in other categories, the brands might allocate more marketing campaigns and budgets to their off-line stores as well. So by working with stores, we are now being able to accessing the off-line inventory. So it's, again a highly win-win for brands and for JD.com and for JDDJ. It's a highly win-win for everyone. We are helping the brands to sell their off-line inventory. And JD is able to access to more valuable inventory, and we certainly act as a -- to generate a lot of value out of it.  And the third is about the marketing and promotion. So, JD certainly has very strong like Double 11 or June 18 promotion festivals, and they're very -- so they're certainly strong with that. At the same time, the off-line retailers, each one of them have their own annual promotion events and other promotional events. Again, highly complementary between the off-line retailers and JD.com. So we also serve as a very valuable bridge between all the parties. So that's the quick summary of the Wujingtianze [ph] logic and the rationale. And as you can see, it's a highly win-win program, and we are generating a lot of value from it.
Beck Chen: Okay. And as for the outlook for the direct margin profile in 2021. First of all, for the monetization side, we expect that it should be growing by like 30 bps on a year-over-year basis, which is generally coming from the different revenue streams, including commissions, online marketing fees and delivery fees.  In terms for the cost side, we expect that as we are prioritizing the growth of JDDJ platform, so the consumer incentives could be growing at a year-over-year basis, while the operation cost, mainly like the rider costs, can be well controlled in 2021.
Operator: Your next question comes from the line of Ashley Xu from Credit Suisse.
Ashley Xu: My question is more on the 1Q trend we have been seeing during and post CNY. I just want to check, given the state policy implied during Chinese New Year, how we are seeing the trend of our order volume as well as ARPU. And how is that trending post the Chinese New Year? And with that, is there any change in our full year expectation in GMV growth?
Philip Kuai: Yes. I will give you an overview, and I think Beck can give you more colors. So the -- this CNY has been, again, very unique. Last CNY, we went through the COVID-19. And then this CNY, we went through the so-called stay local or stay home, the Chinese New Year. So, we're happy to see that the purchase power from the customer has been very strong during the CNY period. And the basket size, that order volume has been very strong. As Beck mentioned earlier, so we -- even based on the very high base last year, we anticipate that this Q1, we will continue to grow more than like 50% year-over-year from last Q1. So we are very confident going forward as well.  And at the same time, as we have worked with the retailers and the brands for the last few years, we have developed a very close partnership. And more and more, we are now being able to work closely and to -- really flexible in terms of the partnership to deal with those unique situations like we have just seen this year, right? So even through a partnership, even -- certainly, we are different parties. But jointly, we are now being very -- we're able to be very flexible and adaptive. So I think we are very confident about the outlook.
Beck Chen: Yes. And also, just like I said in the prepared comments, we are looking forward to that. And going to the Q2, the growth rate of JDDJ will reaccelerate much higher than like the 50% to 60% in Q2. And for the second half -- or for the whole year outlook, at this time, we should still be a little bit conservative, of course. And I think maybe going to the mid of the year, could be -- the landscape could be more clear for us to forecast.
Operator: That last question was from Ms. Ashley Xu from Credit Suisse.  Your next question comes from the line of Alicia Yap from Citigroup.
Alicia Yap: I have a very quick one. Just to follow up on the overall monetization potential for JDDJ. In management view, what is the potential in the longer run to improve the commission take rate from the retail partners as the companies are providing more and more value-added service to them over time? And then how high of the online marketing revenue as a percentage of GMV you believe you could reasonably reach in the longer term?
Philip Kuai: Right. So I'll give you an overview, and Beck can give you more color. So the monetization of JDDJ mainly comes from 3 ways. The first is the commission from the retailers. And the second is the marketing promotion dollars from the brands. And the third is the delivery cost paid by the consumers.  So in terms of the commission from the retailers. So as we are expanding to more and more categories, we're happy to see that in most of the categories other than supermarkets, the gross margin for that categories tend to be higher than the supermarket category. So given that, we are -- I think it's reasonable to see a room for increasing the commission from the retailers going forward from various categories.  And in terms of the brand marketing dollars, as we are providing a lot of very unique values to the brand, we are happy to see that in last quarter, the revenue from the brands grew by 300%. And as you can imagine, brand -- so for most of the FMCG brands, most of their sales still comes from off-line, and they always allocate a very significant portion of their marketing dollars to off-line channels. But traditionally, the off-line channels have -- it's difficult to digitize or to measure, also optimize their ROIs of spending. Now we're providing them with a very transparent digitized way to spend marketing dollars and to measure and improve the performance. So that's why brands are very happy working with us and allocating more marketing dollars through our channel. And at the same time, we are now -- it's one of the fastest-growing channel for the brands as well. So we are very confident to continue to monetize from the brands.  And for the delivery cost, I think we are moderate in increasing the delivery costs. And we're actually among the very few platforms charge the customers in the last few years, while other people may not charge the customers. But we are seeing today that including like [indiscernible] or others, they're now -- most of them are now charging the customers. I think we are -- we'll continue to do that, but I think we will be moderate.
Beck Chen: And also, generally, right now, we haven't seen any like cap for the growth of the monetization rate. So right now, I think in the coming 2 or 3 years, we just still, as Philip said, we just moderately grow our overall monetization rate, not just from like one revenue stream but across different revenue streams to improve our profit -- improve our monetization rate.
Operator: Your next question comes from the line of Natalie Wu from Haitong International.
Jasmine Wu: I am Jasmine on behalf of Natalie. I actually have two questions. The first one is about our expansion in lower-tier cities. I especially want to ask about our strategy in this expansion because, as we know, a lot of the supermarkets and retailers in lower-tier cities are quite small in size, meaning they don't have that many chain stores. So what is our strategy in choosing who to partner with? And also because they are not -- a lot of them are not operating in very well conditions, so they may not bring in that many orders online. So does that mean our strategy to cooperate with them is to level up our commission take rate? So this is the first question. The second question is, can we share more color about the Wujingtianze [ph] program, especially on what are the brands, the off-line brands that we are now cooperating with? Because just now, I think management has mentioned some brands are cooperating with Wujingtianze [ph] to help accelerate their sales in their off-line inventory.
Philip Kuai: Sure. So the first one regarding the lower-tier city strategy. So first of all, we enter each lower-tier cities by working with our existing partners, the national players like Walmart or Yonghui or Vanguard. Each one of them has hundreds and -- or even thousands of off-line stores in lots of lower-tier cities. So for every city we enter, it's always a hot start. It's not a cold start. That's number one.  And number two, there are a lot of very strong local players. And we -- so we did an analysis that at least there -- 100s of very strong local chain players. They might only operate in one city or in one province, but they are very strong and dominant in that particular city or even counties. So at least there are 100 of them. And we are very happy to sign up with those local winners one by one, and we're confident to work with almost all of them. That's number two.  And number three, there are very competitive chain stores from other categories as well. For example, you can see Apple stores or Vivo or OPPO stores almost everywhere in China's lower-tier cities today. And like beauty -- and beauty and personal care stores like Watsons, you can also see lots and lots of them in lower-tier cities. So I think today, the lower-tier cities is very competitive in terms of the retailer landscape, and the players there is very powerful. And we're happy to see our partnership with them.  In terms of the Wujingtianze [ph], so we have now quickly expanded this Wujingtianze [ph] partnership with most of our retailer partners. At the same time, the brands -- the FMCG brands and other brands have been quickly adopting this partnership with us as well. So I think going forward, Wujingtianze [ph] will be an overwhelmingly popular program to most of our brands and retailer partners.
Operator: Your next question comes from the line of Robin Leung.
Robin Leung: Congratulations on a solid quarter. I have follow-up questions on the user acquisition cost. Could management comment that if we see potential pressure on the user acquisition cost in 2021 because we see some bigger players are very strong in growing the users in many programs in the community purchase. And even those smaller front-end warehouse players are active in capital-raising activities recently. So it's likely that they're going to spend more in 2021. So for JDDJ, are we going to see more spending if more new users are coming from our off-line promotion in lower-tier cities?
Philip Kuai: Sure. So I'll give you an overview and see if Beck has anything to add. So for user acquisition, I will split into like two things to look at it. So one thing is how you can acquire the new customers and access the new customers. At the same time, the second thing is the incentives in order to convert and to retain customers.  The first thing -- so as I mentioned earlier in the call, so we have a very unique position and resource. So we have, on a daily basis, we have tens of thousands of active off-line store associates and brand promoters helping us to promote the JDDJ app. At the same time, we are able to get tremendous traffic support from JD.com. I think those are the things that are very unique and unavailable to other players. That gives us a very unique advantage in terms of user acquisition for the new customers.  At the same time, as you can see from our financial numbers, the incentives as a percentage of our GMV given to the customers continue to go down as we are able to offer a broader product assortment and a very solid user experience. I think eventually, customers are coming to buy good products at a reasonable price and expecting a good service. And we will continue to be as competitive as possible in terms of providing all this. I think the incentives will continue to go down. And despite the -- as you mentioned, there are other players aggressively competing for customers. Yes, that's all we have. Thank you.
Operator: I would now like to hand conference back to Ms. Caroline Dong for closing remarks. Please continue.
Caroline Dong: Thank you, operator. Thank you for joining us today. This concludes the call.
Philip Kuai: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may all disconnect.